Mizuho Shen: Thank you for joining the Recruit Holdings FY 2025 Q3 Earnings Call. I'm Mizuho Shen. Today, Junichi Arai, Executive Vice President and Chief Financial Officer, will give a presentation on results and guidance. Then Keiichi Ushida, who is in charge of Marketing Matching Technologies, will give a presentation on the business, followed by a discussion between Arai and Ushida. After the session, Jun will take questions. Please note that today's session, including the Q&A, will be posted on our IR website after the event. The English transcript we release is an adjusted version for clarity and readability, not the live simultaneous interpretation. It will be available within a few hours after the call, and you can access the file directly via this QR code. Starting this fiscal year, we have integrated HR Solutions from Matching & Solutions into HR Technology. Accordingly, the year-on-year comparison of segment results in this fiscal year's financial presentation is based on FY 2024 pro forma figures, which assume that this integration had been effective as of April 1, 2024. Unless otherwise stated, comparisons will be made year-over-year. Lastly, please note that all references to dollars in this presentation refer to U.S. dollars.
Junichi Arai: I will discuss the highlights. In HR Technology, revenue for the second half, particularly in the U.S., has exceeded the outlook we announced last November with both Q3 actuals and the latest Q4 outlook coming in stronger than expected. In addition, due to the Japanese yen's continued depreciation beyond our prior assumptions, we have decided to upwardly revise the full year consolidated financial guidance again. While the adjustment is minor following the previous revision, we are increasing the revenue outlook by JPY 66.1 billion to JPY 3,664.7 billion and EBITDA+S by JPY 30.2 billion to JPY 763.8 billion. We have revised our basic EPS guidance upward by JPY 22 to JPY 335. We expect the full year consolidated revenue, EBITDA, EBITDA+S, profit attributable to owners of the parent and basic EPS to all reach new record highs. Net cash as of December 31, 2025, was JPY 648.2 billion. Let me discuss U.S. revenue in HR Technology in more detail. This is an update to the slide we presented last November. The green line represents the Indeed Hiring Lab U.S. Job Postings Index. The index trend in the total number of U.S. job postings on Indeed from February 2020 to the present. The blue bars show the quarterly U.S. revenue trend for HR Technology. In HR Technology, U.S. revenue for Q3 was $1.3 billion, exceeding the outlook of $1.27 billion we disclosed in November, up 10.1% year-over-year. The primary driver was the U.S. ARPJ growth rate of plus 18%, supported by the continued growth of premium sponsored jobs even as total job postings on Indeed in the U.S. declined approximately 7% year-over-year. For Q4, we expect revenue to be $1.33 billion, above our November outlook of $1.29 billion. We anticipate a year-over-year increase of 12.4% with a U.S. ARPJ growth rate of plus 19%, exceeding our November outlook. We are currently in the process of formulating our earnings outlook for the next fiscal year. For the U.S. market, our baseline assumption is that hiring demand will remain relatively stable throughout the year, maintaining consistency with trends expected exiting March. Under this scenario, we aim to maintain the U.S. ARPJ growth rate in the 10% range on a full year basis, though we expect quarterly variability. However, we recognize that the broader business environment could change over the next quarter, and we will update our projections as needed. We will explain this in more detail in May, together with our financial guidance for the next fiscal year. Driven by HR Technology outperforming our November outlook, not just in the U.S., but in the segment. Consolidated EBITDA+S for both Q3 results and our latest Q4 outlook are ahead of our November assumptions. We are raising our second half EBITDA+S outlook from the JPY 339.0 billion projected in the November 6 revision to JPY 369.2 billion. Accordingly, we are once again upgrading our full year guidance to revenue of JPY 3,664.7 billion, EBITDA+S of JPY 763.8 billion, with a margin of 20.8% and basic EPS of JPY 335, up 23.4% year-over-year. The JPY 250 billion share buyback program launched last October was completed on February 4, 2026. The total payout ratio is expected to be 148.1%, a high level following the 210.3% recorded last year. We expect net cash to be around JPY 700.0 billion at the end of the fiscal year. Before I dive into the Q3 results and Q4 outlook for each segment, I'd like to revisit our TAM to illustrate the scale of the global HR matching market and also share the breakdown of Indeed's paid job advertising revenue by occupation in the U.S. At our full year earnings announcement in May, Deko plans to discuss our upcoming initiatives for the global market, particularly the U.S. Ahead of that, I believe it is important for you to understand the current market size and our position within it. HR Technology operates in over 60 countries. To give you a sense of scale regarding the labor force population in our major markets, the U.S. has 170 million; Japan, 70 million; Germany, 44 million; the U.K., 36 million; and Canada, 22 million. We estimate the global HR matching market, which connects job seekers and employers to be approximately $310 billion as of 2024. This figure represents the total amount business clients spend on recruitment activities. Of this total, approximately $200 billion is attributed to fees for job advertising and talent sourcing, direct hire, retained search and internal recruitment automation, while the remaining approximately $110 billion represents temporary staffing. Internal recruitment automation represents internal hiring costs that could potentially be automated and monetized by third parties. In HR Technology, we are continuously delivering higher value-added services to develop our monetization and drive revenue growth. We are expanding our reach into this broader addressable market by automating the hiring process, targeting not only job advertising, but also the spend associated with placement and internal recruitment functions. To address the placement market specifically, we are pursuing a hybrid evolution that effectively integrates our technology with high-touch human support. We also believe we can realize simplify hiring in temporary staffing, a massive TAM with numerous players by evolving to better match the demands of our business clients. The U.S. market remains the largest globally. We estimate it reached approximately $89 billion in 2024, representing roughly 30% of the global market. Within this, the U.S. job advertising and talent sourcing market, Indeed's largest by revenue, is estimated to be approximately $13 billion, which accounts for roughly 40% of the $33 billion global market. Centered on Indeed, our long-term strategy is simplify hiring. We have built a 2-sided talent marketplace that aggregates practically every job available online. By leveraging data, technology and automation, we are constantly evolving to connect job seekers and business clients faster and more easily. We host over 645 million job seeker profiles on Indeed and over 235 million on Glassdoor globally. Additionally, approximately 3.3 million business clients utilize Indeed annually for their hiring. Given the growing interest in how AI will impact our business, I'd like to provide some context on Indeed's U.S. paid job advertising revenue. It is important to note that while Indeed aggregates practically all jobs online and serves job seekers of every kind, we see strong demand for our services from employers hiring for roles in the in-person economy. These are roles that are not easily disrupted by AI because they rely on physical presence, skills or specific certifications. Breaking down U.S. revenue from paid job ads by occupation for Q1 through Q3 of FY 2025, healthcare is our single largest source of revenue. When combined with other essential on-site and field-based roles, these job categories collectively represent over 2/3 of our total U.S. paid job advertising revenue. This encompasses a broad spectrum of occupations, including repair, maintenance and installation, transportation and food and beverage, among many others. Conversely, the occupations regarded as being exposed to generative AI, such as technology, marketing, finance and accounting, legal and administrative and customer support, each represent only a small fraction of our revenue, typically in the low single digits. And even when combined, these occupations represent approximately 15% of the total. At the World Economic Forum in Davos last month, our CEO, Deko and the Chief Economist of Indeed Hiring Lab, Svenja Gudell, participated as speakers in panel discussions hosted by the Wall Street Journal. During the sessions, they received many questions about how AI will impact the labor market. Deko discussed how job seekers can now easily generate hundreds of AI-optimized job applications, which has become a challenge for employers. As a result, Indeed's value proposition, simplifying the hiring process for employers, has become more important than ever. Svenja noted that AI will certainly change jobs, but according to analysis by Indeed Hiring Lab, out of approximately 3,000 job-related skills in the U.S., only about 30 could potentially be fully replaced by current generative AI technology. For further details, please scan the QR codes on the slide to watch the videos. Now I will discuss the Q3 results and Q4 outlook for each segment. Regarding HR Technology revenue by region. In the U.S., revenue on a U.S. dollar basis for both Q3 actuals and our Q4 outlook is exceeding the outlook we disclosed in November. Q3 revenue was $1.3 billion, up 10.1% year-over-year. The primary driver was the U.S. ARPJ growth rate of plus 18%, supported by the continued growth of premium sponsored jobs, even as total job postings on Indeed in the U.S. declined approximately 7% year-over-year. For Q4, driven by monetization development, including continued growth of premium sponsored jobs, we expect revenue of $1.33 billion, up 12.4% year-over-year, while total job postings on Indeed are expected to decline approximately 6% year-over-year. The U.S. ARPJ growth rate is expected to be 19%. In Europe and others, including Canada, revenue on a U.S. dollar basis remains largely in line with our outlook assumptions from November based on Q3 results and current Q4 trends. Q3 revenue was $507 million, up 19.6% year-over-year, including a positive impact from foreign exchange rate fluctuations. The U.K., Canada and Germany together accounted for about 2/3 of Indeed revenue for Europe and others on a U.S. dollar basis. Specifically, driven by monetization developments, including the continued adoption of premium sponsored jobs, revenue in the U.K. grew approximately 16% and in Canada, approximately 12% on a local currency basis. For Q4, we expect revenue in Europe and others of $518 million, up 21.7% year-over-year, reflecting ongoing developments in monetization. In Japan, revenue on a Japanese yen basis remains largely in line with our outlook assumptions from November based on Q3 results and current Q4 trends. Q3 revenue was JPY 81.6 billion, down 4.6% year-over-year. On a U.S. dollar basis, revenue was $531 million, down 5.4%. For Q4, we expect revenue of JPY 87.0 billion, down 7.8% year-over-year. On a U.S. dollar basis, we expect $568 million, down 8.1%. Consistent with the outlook we shared in November, we continue to expect the recovery in placement services to materialize in the first half of the next fiscal year. Q3 segment revenue on a U.S. dollar basis was $2.3 billion, up 7.9% year-over-year. For Q4, we expect revenue of $2.4 billion, up 8.5% year-over-year. Q3 EBITDA margin was 35.4% and EBITDA+S margin was 39.1%. EBITDA and EBITDA+S increased mainly due to revenue growth and reduced employee benefit expenses. Regarding Q4 segment EBITDA margin, while we continue to drive efficiency in the U.S. and Europe and others, we are increasing marketing expenses in Japan to prepare for the upcoming fiscal year and beyond. As a result, we expect segment EBITDA margin to decrease sequentially from Q3 to 30.8% and EBITDA+S to be 34.6%. In Japan, as we have shared, we launched a new organizational structure this fiscal year. Amidst the transition and resulting uncertainties, we had been controlling investments, particularly marketing expenses. However, entering Q4, we are making progress in correcting earlier misjudgments in our placement services. Therefore, we are now deploying marketing spend, specifically for placement services to drive revenue recovery and growth starting next fiscal year. We view this as an investment that will contribute to further margin expansion in the full fiscal year ahead. As a result, we expect full year segment revenue of $9.5 billion, up 6.1% year-over-year and JPY 1,428.3 billion on a Japanese yen basis, up 4.1% year-over-year. We expect the full year segment EBITDA margin of 32.3% and EBITDA+S margin of 36.6%. As for Staffing and MMT, performance is tracking largely in line with the outlook revised on November 6, so we are making only minor adjustments to the outlook. Our capital allocation measures, I would like to cover this topic last. We completed the share buyback program announced in October on February 4, 2026, repurchasing the maximum authorized amount of JPY 250.0 billion. From the beginning of this fiscal year through the completion date, we have acquired shares for JPY 677.9 billion. Shareholder returns over the past 2 years will amount to a total of JPY 1.571 billion. Based on our latest consolidated guidance, this corresponds to a total payout ratio of 176.7%. Consolidated net cash and cash equivalents as of the end of December was JPY 648.2 billion. In May 2024, we announced our plan to adjust net cash from JPY 1,135.4 billion as of March 2024 to a level of around JPY 600 billion over the 2-year period ending March 2026. We already reached this level in the first half. However, reflecting the upward revision to our second half guidance, we now expect net cash to be around JPY 700 billion at the end of this fiscal year. We plan to share our thoughts and specific measures regarding capital allocation for the next fiscal year in May. That is all from me. Next, Ushida will present an update on the MMT SBU, followed by a discussion with me and Ushida.
Keiichi Ushida: I'm Ushida, Head of Marketing Matching Technologies, or MMT, since April of last year. Today, I'd like to share an update on the evolution of our business model in MMT. Building on our Help Businesses Work Smarter strategy in Japan, we are focused on driving growth alongside our business clients. By integrating this strategic evolution with AI, we aim to deliver revenue growth and expand EBITDA+S margins across MMT. Later in the presentation, I will dive into the specifics of our recent initiatives in Beauty and discuss how we plan to extend this approach to other subsegments and verticals. Recruit Holdings was founded in 1960, starting with a new graduate recruitment advertising business in Japan. As we expanded our HR businesses, we entered housing and real estate in 1976, which marked the beginning of our Marketing Solutions business, now known as Marketing Matching Technologies, MMT. We subsequently expanded our print media business into Travel, Automobile and Bridal. In each vertical, we established unique brands aimed at enriching the lives of individual users while driving growth for our business clients. Recognizing the unique characteristics of each vertical, we have always focused on building and refining business models designed to address mismatches found in each market. Starting in the early 1990s, we transitioned from print to online advertising media eventually evolving into matching platforms that today are integrated with SaaS solutions to support business operations. Regarding our business model, aside from travel, which adopted a transaction fee model upon shifting online, our other subsegments and verticals initially operated with a traditional advertising-based model. We later shifted many of these to expected action-tiered plans, which offer pricing options structured around the number of expected user actions and customer acquisition costs. Looking toward FY 2025 and beyond, we are taking the next step by introducing a gross merchandise value, GMV, linked model. Our business model constantly evolves and grows to adapt to changes in the business environment, user needs and the value we deliver to our business clients. MMT operates matching platforms under unique brands across a diverse range of verticals. These are organized into the Lifestyle subsegment, comprising Beauty, Travel, Dining and SaaS Solutions along with Housing & Real Estate and others, which covers Automobile, Bridal, Education and Others. In each of these verticals, we hold one of the largest individual user bases in the industry and have maintained a leading market position in Japan for many years. In terms of revenue, Housing & Real Estate is our largest subsegment followed by Beauty. These are also the businesses that generate the highest EBITDA+S margins. The Lifestyle subsegment, which includes Beauty, accounts for approximately 52% of the revenue of MMT. Until last fiscal year, this was Marketing Solutions of the former Matching & Solutions. Starting this fiscal year, however, we are reporting results and disclosing guidance for MMT as one of Recruit Holdings' 3 core business segments. For the full year outlook, revenue in MMT is expected to be JPY 566.8 billion, an increase of 5.1% year-over-year. EBITDA+S margin is expected to be 27.1%, reflecting our progress in improving efficiency. Our strategy is to concentrate resources on high-growth areas while driving efficiency across the entire segment. This will enable us to expand both revenue and EBITDA+S margins. Looking ahead, we aim to raise the EBITDA+S margin to 30% next fiscal year, and we are targeting 35% by FY 2028. Now I would like to further explain our matching platforms and their evolution. Thanks to the dedication and ingenuity of our team have facilitated mass and matching between approximately 6 million individual users and 970,000 Business clients annually. Business clients sync real-time booking availability, service and product information through our SaaS solutions and individual users with a Recruit ID take actions like booking reservations, sending inquiries or requesting information. Currently, we offer expected action-tiered plans in many verticals. Moving forward, we plan to introduce a GMV-linked model. By combining this with new AI initiatives to further drive business client revenue, we aim to increase revenue in MMT as well. Under the GMV-linked model, we receive fees based on the business clients' GMV, or gross merchandise value, which is the total value of transactions resulting from matches on our platform. For individual users, Recruit ID drives synergies across our verticals and support integration and operational efficiency across MMT. It serves as one of the foundations supporting our mid- to long-term growth. Individual users register for a Recruit ID and earn recruit points based on their actions. They can then use these points across multiple vertical platforms, which encourages cross use of our services. We believe these users will continue to utilize our platforms over the mid- to long term using Lifestyle subsegment services for their daily lives and services such as Housing & Real Estate and Automobile as they progress through different life stages. For business clients, Air Business Tools is the suite of SaaS solutions for business and management support. We offer cross vertical services such as AirREGI, a point-of-sale, POS, system for sales management and AirPAY for payments. We also offer vertical SaaS solutions such as SALON BOARD in Beauty, which is integrated with AirREGI and RESTAURANT BOARD in Dining. These solutions enable business clients to centralize data management, consolidating information that previously had to be handled across multiple disparate tools and to visualize key management metrics. By improving operational efficiency and reducing operating expenses, business clients can create an environment where they can focus on planning and executing strategies to drive their own revenue growth. Crucially, this unique data regarding reservations, payments and sales is securely synchronized with our systems, enabling us to leverage it to deliver targeted business improvements and management support to our business clients. Backed by the broader increase in online activity in Japan, we have seen a continued virtuous cycle of growth in both the number of business clients and individual users. As a result, the total number of annual actions on MMT platforms increased from approximately 190 million in FY 2017 to approximately 370 million in FY 2024. Building on this, we will promote cross-use across multiple vertical platforms by individual users with Recruit IDs. In addition, we will leverage the reservation, payment and sales data accumulated on our platforms by using AI to propose improvements in services and pricing to business clients. We believe we can increase the number of user actions and matches, thereby driving the growth of our business clients' GMV in each vertical. We plan to progressively implement the GMV-linked model in verticals where our contributions have successfully driven revenue growth for our business clients. Through this approach, we will share in the value we help to create and aim to achieve revenue growth for MMT. I would like to explain in more detail using our recent initiatives in Beauty as an example. In Beauty, we operate Hot Pepper Beauty, the leading search and booking matching platform. The number of bookings has grown from approximately 2.9 million in FY 2011 to approximately 160 million in FY 2024. Several factors have driven this growth. First, we adopted a strategy to sequentially expand our coverage nationwide through local sales activities. We provided hands-on support accompanying salons through the initial operational setup and launch. This led to an increase in the number of business clients, which in turn enhanced choices and convenience for individual users, creating a virtuous cycle of user growth. Furthermore, our specialized vertical SaaS solution, SALON BOARD, serves as the foundation supporting this virtuous cycle by enabling real-time online reservations. We believe that our uniqueness and strength lie in our integrated offering of customer attraction platforms for individual users and operational support SaaS solutions for business clients. Hot Pepper Beauty is our comprehensive beauty matching platform for search and booking covering hair, nail, eyelash, aesthetics and relaxation salons as well as aesthetic medical clinics. On this platform, individual users can seamlessly manage their entire journey, search for salons and specific styles, make real-time online reservations and complete payments via our mobile app or website. Currently, it serves more than 12 million monthly average active users. SALON BOARD is our dedicated SaaS Solution for beauty industry business support that allows business clients to centrally manage everything from reservation availability to accounting and sales. It is equipped with the functions of AirREGI, enabling wide-ranging support for business clients' back-office operations, from sales management to analysis. Through SALON BOARD, business clients can also manage their availability and set prices on Hot Pepper Beauty. The image you see now is the SALON BOARD interface that business clients use in their daily operations. On the sales management page, business clients can understand daily sales figures and customer numbers at a glance. By simply switching tabs, they can easily check various business related items such as reservation status and marketing content posted on Hot Pepper Beauty. This data is securely shared with us via our systems and is utilized to propose actionable operational improvements and management support to business clients. The estimated market size of the beauty industry in Japan is approximately JPY 2.7 trillion in terms of total business revenue. Meanwhile, the GMV generated through Hot Pepper Beauty expanded to approximately JPY 1.1 trillion last fiscal year. This growth was driven by an increase in reservation volume and higher unit prices resulting from users opting for high value-added services. The 5-year CAGR from FY 2019 to FY 2024 was 14.2%. We define our TAM for Beauty as the total online and offline promotion and advertising expenses in the Japanese beauty market. While policies vary by salon, these expenses are generally estimated to range from 5% to 10% of their revenue. Based on our revenue outlook of JPY 126.6 billion for this fiscal year, we believe we have already established a leading position in the online market. We recognize that some in the capital markets may be concerned that the future upside for beauty is limited. However, I believe that by contributing to the revenue growth of our business clients, their budgets for promotion and advertising, our TAM will effectively expand. This, in turn, will enable further revenue growth in Beauty. Under the expected action-tiered plan, revenue in Beauty grew at a 5-year CAGR of 7.4% from FY 2019 to FY 2024. This growth was driven by the expansion of user reservations, which led business clients to upgrade to higher-priced plans. However, because our revenue was not linked to GMV, this growth lagged behind the GMV CAGR of 14.2% over the same period. Consequently, the ratio of revenue to GMV dropped from nearly 20% in FY 2016 to just over 10% today. Our approach is not to simply raise fees unilaterally. Instead, we aim to contribute to the growth of GMV by continuing to provide high value-added solutions and in return, receive a portion of that created value as fees. Based on this philosophy, in Beauty, we launched the GMV-linked model in January this year in addition to the existing tiered plans. The rate is set at 1% of GMV. We expect the introduction of the GMV-linked model to deliver an incremental revenue impact for Beauty of approximately JPY 12 billion in the next fiscal year. From FY 2027 onwards, we aim to accelerate the growth of Beauty by continuing to contribute to the sales growth of our business clients. I would also like to highlight specific measures that we expect will significantly contribute to GMV growth. As announced during the Q2 earnings call, we explained that in addition to our typical concentrated investment in the second half, we would increase promotion expenses exceeding initial projections. We allocated approximately JPY 5 billion, which represents the majority of this additional budget to a major campaign in Beauty this month. This event offers 50% points back for the first 1 million reservations. February is typically a slow season for the Japan beauty market. By injecting additional marketing resources during this specific period, we aim to stimulate significant latent demand among individual users. Moving forward, we plan to continue deploying promotion expenses at strategic moments to drive growth in user actions. Another key initiative is the integration of AI capabilities into SALON BOARD. Some of our business clients are already leveraging this feature to optimize pricing and design targeted promotional campaigns. As shown here, business clients access the AI Business Adviser within SALON BOARD. With a single click, they sync the sales and reservation data they register daily. For example, if a business client asks, "How can I increase the average unit price?" The AI analyzes the salon's actual data and immediately provides specific actionable proposals to achieve that goal. Currently, this is offered as a beta version with limited availability. However, we plan to roll this out to the majority of our business clients as soon as possible. We believe that introducing the GMV-linked model in Beauty aligns with our MMT strategy, Help Businesses Work Smarter, and will lead to enhancing the earning power of business clients all across Japan. This business model enables us to boost profitability and productivity for our business clients, and we receive fees for our contribution. As we thoroughly validate this model in beauty, we plan to expand it to other subsegments and verticals. In fact, in Travel, we have utilized a transaction fee model since the launch of our online platform. In Dining and Housing & Real Estate, we have already begun introducing the GMV-linked model in select services. Moving forward, as the GMV-linked model expands across MMT business, combined with leveraging internal use of AI to advance operational efficiency, we believe we can achieve higher EBITDA+S margins. Even with the declining population in Japan, the introduction of the GMV-linked model unlocks significant growth potential for both our business clients and MMT. We look forward to demonstrating this continued growth through our performance and results.
Unknown Analyst: I have a few questions. First of all, regarding the GMV-linked model introduced in Beauty, is our understanding correct that a 1% transaction fee based on GMV has been added to the existing expected action-tiered plan? Furthermore, why was it not possible to introduce this model in Beauty until now? And what is the rationale for not transitioning fully to a transaction fee model?
Keiichi Ushida: Yes, that is correct. We are not simply replacing our existing models with a GMV-linked model. Instead, we are introducing a transaction fee of 1% of GMV as an add-on to our current plans. This evolution has been well received by our business clients. Historically, MMT has focused on driving revenue for our business clients by increasing mainly the number of bookings. Recently, however, as the adoption of our AI solutions accelerates and unit prices increase in an inflationary environment, we have seen more opportunities to directly contribute to improving unit prices as well. This is precisely why we believe now is the right time to begin incorporating a model linked to our business clients' revenue or GMV. At the same time, you may wonder why we aren't moving fully to a transaction fee model. In beauty, for instance, repeat bookings depend not only on the power of our platform, but also significantly on the stylist skill and hospitality. We believe that charging for the entire outcome would not align with our business clients' sense of fairness. Therefore, we have now intentionally chosen a hybrid model that combines fixed and variable components. Ushida-san regarding our new initiatives and future outlook for beauty, please share your perspective on 2 areas. First, what exactly should our business clients expect in terms of value? And second, what kind of changes or benefits will individual users experience on their end? First, for our business clients, we believe we can significantly expand the scope of support we can offer. By incorporating GMV linked variable fees, we will be able to sharpen our focus on maximizing revenue for our business clients. Specifically, we will drive revenue growth through optimization utilizing AI and strategic demand generation initiatives such as our the BB Festival, which aims to stimulate demand by investing in promotion expenses. For example, business clients can leverage AI to analyze daily salon data to design service menus tailored to a stylist specific strengths, including expertise in shortcuts or Korean style looks. This approach helps increase both unit prices and the number of customers, which leads to higher overall revenue and improved compensation for the stylists. Furthermore, we aim to drive revenue growth for salons by providing strategic recommendations to level out occupancy across the week. We are also designing pricing models optimized for repeat bookings based on the concept of LTV or lifetime value. From the perspective of individual users, while we will continue to provide a platform where it is easy to make bookings, we believe the primary benefit lies in the ability to discover their ideal salon or stylist. Our goal is to ensure they can enjoy these services at the optimal timing and price, and we strive to deliver this enhanced personalized experience moving forward.
Unknown Analyst: You deliver a good result for both sides. In today's presentation, it was mentioned that the average promotion and advertising expenses ratio for businesses in the Japanese beauty market is generally said to be around 5% to 10% of revenue. On the other hand, as you noted, our revenue in this vertical historically accounted for nearly 20% of GMV. And even with recent declines, it remained slightly above 10%. How should we interpret these figures? Furthermore, are you considering any future changes to the 1% fee rate for the newly introduced GMV-linked model in beauty?
Keiichi Ushida: The market average typically includes a wide range of salons, including those that do not actively invest in advertising. In contrast, our platform is primarily utilized by actively investing business clients, such as newly opened salons focused on building their initial customer base or those who proactively allocate promotion and advertising expenses as a strategic investment for expansion. Consequently, their promotion and advertising as a share of revenue typically exceeds the market average. Ultimately, we believe our current revenue level has been sustained because our business clients are satisfied with the tangible customer acquisition results and the overall ROI provided by our plans. Regarding your question about future changes to the GMV-linked fee rate, our primary focus is to ensure the continued satisfaction of our business clients. Our objective is not to unilaterally increase the fee rate. The true strategic intent behind introducing the GMV-linked model is to create a framework where we grow together with our business clients. Our priority is not simply raising the rate, but rather demonstrating how much we can expand our business clients' revenue GMV through our AI and strategic demand generation initiatives. We will continue to seek the optimal balance by evaluating the value we provide alongside the evolving needs of our business clients.
Unknown Analyst: That's interesting. Could you share your blueprint for evolution in other subsegments and verticals? Are dining and housing and real estate the specific areas where you expect significant progress moving forward?
Keiichi Ushida: Rather than preselecting specific verticals to target, we are prioritizing tests in areas where data synchronization is most advanced and where we can clearly contribute to increasing revenue for our business clients through actionable improvement proposals. In fact, we are already in the testing phase across multiple verticals, including dining, housing and real estate and automobile while sharing the knowledge and insights gained in beauty. Naturally, the pace of digitalization varies across verticals, resulting in different time lines for growth in each area. However, our blueprint is to deploy our winning playbook across all verticals. This involves leveraging our unique strength of combining promotion capabilities with data captured through our SaaS solutions to drive more matches. By further integrating AI, we aim to maximize GMV as part of this cross vertical expansion strategy. The members of our MMT team are all highly ambitious and talented, and I look forward to seeing new possibilities unfold across various verticals.
Unknown Analyst: It sounds very exciting. Next, this is relatively a general question. Individual user behavior online is shifting toward using AI applications as the primary entry point. How do you view the potential impact of this shift on MMT?
Keiichi Ushida: As you pointed out, we see a growing trend of users utilizing conversational AI as an entry point for gathering information and making decisions, a shift that is particularly prominent among younger generations. While this has not yet resulted in a full-scale replacement of traditional search, we recognize this as a critical structural change that could transform user touch points. However, regardless of how the entry point evolves, the core of our value proposition remains the same as we continue to focus on refining the experience for individual users and increasing the accuracy of matching with our business clients. Therefore, to provide a seamless experience from discovery to booking and final conversion, we are prioritizing the optimization of the user journey in the AI era.
Unknown Analyst: Thank you. In Japan, is there any collaboration or synergy between MMT and HR technology?
Keiichi Ushida: Yes, we do see significant synergies. In Japan, the ability to utilize the Recruit ID across both MMT and HR technology generates powerful synergies. In fact, we are seeing clear examples of cross use. For instance, younger users who first register for a Recruit ID through Hot Pepper Beauty expand their usage to our HR technology services, such as creating resumes or using our part-time job platforms. Moving forward, we will continue to enhance the user experience by optimizing our services through this unified ID infrastructure.
Unknown Analyst: Lastly, I have a question regarding the overall MMT. The plan is to continue evolving with a target EBITDA plus S margin of 30% for next fiscal year and 35% by FY 2028. Based on our discussion today, can we look forward to the margin potentially exceeding these figures by a significant amount as revenue continues to grow? Considering your comments on AI integration, if you can increase revenue through higher GMV for business clients while improving operational efficiency, would that expectation be realistic?
Keiichi Ushida: First, we are focused on steadily achieving our EBITDA plus S margin targets of 30% for the next fiscal year and 35% by FY 2028. As we discussed today, the expansion of our GMV-linked model and the integration of AI do create room to simultaneously drive revenue growth and operational efficiency. In the mid- to long term, we believe these factors will act as a tailwind for margin improvement. At the same time, we will not simply let all efficiency gains drop to the bottom line. If we identify opportunities to expand the GMV of our business clients, such as through demand generation or product enhancements, we will invest flexibly and decisively. Therefore, depending on the timing of these investments, there may be periods where the EBITDA plus S margin fluctuates in the short term. Our priority is to execute our strategy toward our targets and demonstrate our progress through results. To all our capital market participants, we invite you to look forward not only to our HR technology, which already carries high expectations, but also to the future growth and potential of MMT.
Unknown Analyst: Thank you very much. I am certain that today's presentation by Ushida-san has significantly increased the interest of all capital market participants in MMT. I expect we will see a sudden surge in requests for meetings with him.
Mizuho Shen: [Operator Instructions]. First, JPMorgan. Yamamura, please.
Junko Yamamura: JPMorgan Yamamura speaking. Can you hear me? So one question. I want to check some figures and the background to the numbers. HR Tech, North America status. Last time, you gave us the second half, 16% increase in unit price. This time, it is 19%, you revised upward, 7% down, now 6% down, smaller decline. So in the past 3 months, what was the upside premium service, price increase, which worked well or after CEO changed in June, there has been upward push for the service. It's not the price per se. More users are using the services. So higher penetration is the driver.
Keiichi Ushida: So we're not changing the price. There are more clients that are using this service. And we think the momentum will continue in Q4 and next fiscal year. And aside from this, we are thinking of other initiatives. So we hope they will flourish next year and the year after that. So as we've been mentioning so far, US ARPJ growth is when the environment is seen neutral, this is an index of how much our business is growing, and we started using this from last time, and we think we are making steady progress.
Junko Yamamura: A follow-up question. So you talked about the North America projection next year, you said full year 10%. Is that revenue or number of cases? So number stops declining and if unit price goes up, then maybe revenue will grow further. So this 10% is US ARPJ growth. I see. Understood. So top line, if you multiply, I don't know if it will be higher or lower, but you have more room for growth. So hypothetically, US ARPJ growth on a full year basis is 0 hypothetically -- sorry, the market -- if market is flat, if our revenue grows 10%, US ARPJ growth is 10%, right?
Keiichi Ushida: Yes. So market may be declining and our revenue is increasing, it will be an addition. But when market is growing and plus 5% and our revenue is plus 5%, then US ARPJ growth is 0. So it's not our own effort. It is that we are going with the market growth.
Mizuho Shen: Next, Nagao-san of BofA. Nagao-san, I believe you will be asking questions about MMT.
Yoshitaka Nagao: Yes, this is Nagao of BofA. I have a question for Ushida-san, if I may. So in your presentation this time, for housing and real estate, you didn't really mention this on purpose, not because it's weak, but it needed no explanation. It's a solid business. So looking at housing and real estate or Sumo specifically, what is the role of this segment in MMT in your view? And as a competitive area, this is quite competitive. But what is the reason why Sumo has been able to sustain its competitiveness over long term? And how will you plan to further grow this business going forward?
Unknown Executive: Since I'm the only person responding to questions in Q&A today, I apologize. But regarding your question, in May, when we gave earnings announcement, we hope to revisit this topic. But as we showed in the pie charts of the segments, housing and real estate is the largest. And as we mentioned before, housing and real estate business and the beauty business, Ushida explained today, these are the 2 segments that are most profitable of all the segments that we operate in. So these are the 2 pillars driving overall business. And on top of that, we are implementing various transformation measures. So in particular, the Lifestyle business is launching new services. It is rolling out new initiatives. So that is the overall picture. To the capital market participants, we have not really provided a detailed picture of what this housing and real estate business is since the listing, it has taken this long. But even in the housing and real estate, there are subsegments and they are all moving at different paces depending on the business environment. We have different movements shown by business clients and also individuals showing different behaviors. And all of this makes up the entire housing and real estate business. So today, Ushida focused on beauty as part of our overall transformational efforts because beauty is ahead of the segments. That is why he focused on beauty. But for housing and real estate as well, there have been a number of new initiatives being implemented. And for future growth and development, of course, we have some other initiatives that are currently being considered. So to answer your question, Sumo, in MMT, it is considered one of the most important businesses in terms of size and profitability. It is an important business, and this fact remains unchanged. Of course, the competitive landscape exists, but it is positioned in a very good place, and we will continue to drive this business forward. We will come back to this topic in the May earnings call.
Yoshitaka Nagao: I have a follow-up question from your position as CFO, the air business tools, is it a strategic tool? Or is it something for profitability and you have the salon board and other wide offering of menus? How do you consider this to be a driver for profitability? For consolidated revenues, the air business tools, how are they positioned?
Junichi Arai: So we have a group of air business tools now available, and they are currently recorded as part of the Lifestyle business. Its revenue is increasing. But compared to the existing verticals, its size is not comparable. It's not as significant. At the same time, many of these tools are provided to our business clients as freemiums to help them equip themselves with more earning capabilities. As Ushida mentioned before, business clients can utilize these tools to do cumbersome operations. Instead, they can spend time coming up with new menus or how to serve their customers better. That is the slogan under which we are operating this business. So many -- much of the revenues comes from AirPAY. This is related to payment service. Much of the revenue comes from the accumulation of various tools under AirPAY, and it's not as significant. But as Ushida mentioned, AirREGI or AirPAY among those are quite powerful tools. And because we have these tools, we have been able to introduce this GMV-linked model. So they are to become the pillars of our business. And for us to implement new initiatives to transform into something new, I believe these tools will serve as a backbone. And of course, with more payments handled with AirPAY or prepaid with AirPAY, GMV grows. And of course, this translates to more fees for us. And this is desirable, but that is not our main aim. Rather, for beauty, we want to see more revenues of business clients in Beauty segment increase. And we can, of course, benefit from their revenue growth. So they are essential tools, but it is not our intention to position this as the main area of our business to be profitable just from these tools.
Mizuho Shen: Goldman Sachs Securities, Munakata-san please.
Minami Munakata: Goldman Sachs Securities, Munakata speaking. One question. HR Tech is my question. So top line is strong and margin is high. It's very prominent in Q3. From Q2 to Q3, you're seeing a rise. And what is the background to that? What's the driver? And along with that, margin next year, US ARPJ will be over 10%, somewhere in the teens. And if this leverage can be enjoyed and margin can expand further?
Unknown Executive: So to your second question first, we are now building up numbers. As you rightly said, if revenue grows, -- and if we can continue our disciplined operation and hone our operation further, we have room for higher margin. In other words, EBITDA can be higher than last year. So we cannot give you numbers yet. We're working on that now. But with the growing revenue, margin can also grow, we think. Now to your first question, we are continuing to improve efficiency. As I mentioned last time, that includes cost reduction and the rightsizing of our headcount, including smaller size, many are ongoing now. So we think overall, they're showing results. And for Japan business, we will see those fruits later. So back to your second question, in next year and the year after that, HR Tech will become even more efficient overall.
Minami Munakata: One follow-up question, if I may. This may have been asked earlier, but US ARPJ, 10% or above this over 10% growth. What's the assumption? So you're calculating various numbers to come with this over 10%. I'm sure there are various scenarios. US ARPJ growth driver is now premium sponsored job, number of companies using premium sponsored job is increasing. So one driver is that this momentum continues or you are having better traction in developing larger companies, capturing larger companies or new services or a mixture of all these? If you could give us a hint, I'd appreciate it.
Unknown Executive: So from what I said earlier, so thank you, Munakata-san, for that question. So let me broaden my comment and come back to your question. Originally, we have been working on SME companies job on our platform and improve user access and application. And with that, we have grown our profit, -- revenue and profit. We've been saying this since COVID-19. On the other hand, the environment that you are in, your working environment is you work in large building and one floor is for HR department. And a part of your HR department has a recruitment team, maybe 100 or 200 recruitment team members. You may -- many may imagine that, that is the kind of customers we have, the clients, -- the clients we have. But -- and when we talk with investors, that is the image they have. Our original business was matching. So user did not know that there was a job there. So now I can apply. We created that environment, and that is our uniqueness. That was the driver of our business. But now a large building, a big team of HR recruitment team, those are the well-known companies. So job ad, they do not need to place job ads indeed. They can receive applicants without doing much. They don't have to spend money to place job ads. People come to get hired. So the matching -- the original matching to allow users to know where the jobs are. Indeed has the product to offer, but that was the only tool, the matching. But now using this tool, more candidates can apply and have a good resume made. Like [indiscernible]  said in Davos, more application comes. Now you don't know where -- what to do with it with the large application. So now our premium service is one, new products. These new products in our traditional business model, we did not have much connection with some part of users, but now the recruiting automation, internal recruiting automation, we are helping and business opportunity in these business clients. And premium service, as I mentioned earlier, is the index clients. It can be used by more clients. And so we are growing this further. And at the same time, we are trying to do what we've not done in the past to make it available to large clients as well. Once we do that, US ARPJ growth will accelerate. But it's not that we want a short-term profit. We're thinking of mid- to long-term growth. So we don't know if it will prosper next year or we will still prepare and flourish the year after. So like [ Deko ] said, we are now thinking of this business seriously. That's -- when that is realized, US ARPJ will grow. We don't know if it will be next year. However, we are now racking our brain to come up with the best scenario, best steps to take. We will -- I will then talk with [ Deko ] in May and talk about the aspirations for next year. So today was just an introduction to that.
Mizuho Shen: So it's been over an hour. I see still many hands up. So we would like to extend this Q&A session by a little bit. From Nomura Securities, [ Ono-san ], please.
Unknown Analyst: This is [ Oum ] from Nomura Securities. So for paid advertisement, thank you for disclosing the numbers by job type. And 2/3 you mentioned in-person, which is encouraging. So my question is this, have you seen any change in the mix over time? For example, what would be the ratio before, however, many years ago and how it has changed? And because certain segments are performing strongly, this 2/3 being in-person trend will continue? And as a follow-up question, within the in-person economy, what is the penetration of premium service? I believe many medium-sized clients in the in-person segment, are they subscribing to the premium service? What will be the percentage?
Unknown Executive: Thank you. If I were able to give you a matrix showing this quadrant is how many percent and this section is how many percent I think that would be quite comprehensible. But of course, there have been changes as to which job types are popular in a given time. So the content changes. But in May, I think we will be able to show you some figures perhaps using a pie chart with a review of the 1 year over the 2025 period. At least that's what we would like to show you at the May timing. I don't have any specific figure that I can share with you what the mix looked like 5 years ago. But the largest share is health care. And this health care is constantly in need of people. In other words, the turnaround is quite rapid. So people leave and people are hired immediately. So regardless of where people are, they are able to find job in the health care segment. So in that sense, the turnover of people is quite rapid. And of course, the business clients need to retain people. So they look for talent. They want to nurture them. And of course, indeed, as part of that picture indeed is used to make sure they hire and retain people. So that has been a constant over the past 4 to 5 years. So we are seeing a strong demand from health care or a strong demand for truck drivers. So these are the kind of job types that we continue to see at the top of the list. And of course, for other job categories, economy plays a part in seeing ups and downs, but I think the trends tend to remain the same. And this is something I've been speaking about since before. Looking at Indeed's business model, the HR tech is to address job seekers, and we are not paid according to what the salaries job seekers receive. So for categories where people's turnover is quite high or people leave and hired quite rapidly, we tend to see our revenue grow. And also where there is a rapid turnover across industries, people who tend to move across different verticals or industries, that's where we see a significant portion of our revenues coming from. So whether that's 2/3 or 75% or 66% or 40%, of course, this goes up and down. But generally, within our platform, the kind of job categories that we take care of tend to be in these categories that was mentioned today. So maybe sometime in the future, we can come back to this topic and show you the past trends and more specific views of how the mix has shifted over time. But today, with the introduction of machines or AIs, we've seen different impact coming from AI, and we shared some categories that may or may not be impacted today. So I think this should see a higher adoption of premium. In other words, business clients are having difficulty hiring in-person economy. So adoption of premium service should be higher. Well, since I don't have the data readily available, so I cannot say which is high, which is low, but the clients have the need to hire people with solid skills, appropriate skills. If demand is high, then yes, I think adoption should be higher, as you said.
Mizuho Shen: So we will take one last question, Citigroup, Yoneshima-san, please.
Keiichi Yoneshima: Citigroup Securities, Yoneshima speaking. I have a question on MMT. GMV model will be introduced in beauty. But as time goes by, what is the time line for Lifestyle and for Sumo, will you introduce this GMV based model, GMV model? And Arai-san, in your -- you talked about margin. 35% in 2028 will be the target. But as CFO, Arai-san, are you expecting for a higher level? So MMT's limit. So [ HRT ] had 40% in the past. So MMT has that potential to attain that level or even higher or not that much? What is your take? Thank you.
Junichi Arai: So to your first question, in Ushida-san's presentation and in our fireside chat, I think we partially answered your question. We will find the right timing, beauty clients' response will be watched so that we will not make a mistake. If we have a good opportunity, we will touch on that in May. But restaurant or housing and real estate have already partially introduced this model, not all, but partially. So that progress and the uniqueness may be introduced when we announce our results in May. And if there are new initiatives, we will have Ushida-san come and talk again at the right opportunity. And to your second question, of course, from my position, I want to hire businesses, domains, they have different features and upsides and challenges. And so it's difficult to generalize MMT as a whole. But Ushida-san and the current management are focusing on what we need to focus. So that's their policy, laser focus on the priority. So this will grow or this will be addressed. I think we can give you more details in May and increase your excitement. So I hope you could look forward to it.
Unknown Analyst: One follow-up question. MMT revenue growth, what is your expected revenue growth for the next few years?
Junichi Arai: What I want you to do is not the MMT overall revenue growth, but beauty or housing and real estate. I want you to look at them one by one and add them up to get the entire revenue growth. So MMT, not certain percentage for MMT. We want the good verticals to grow, good segment to grow.
Mizuho Shen: This concludes this session. Thank you for your participation. Thank you very much.